Sacha Poignonnec: To accelerate the development of products and features for an even more engaging and seamless user experience, as well as of course, the development of JumiaPay. We are comfortable with the increased level of loss given the strength of first unit economics that will come in a minute. The good signs of growth than we have just seen. And of course, our cash position of $584 million at the end of the quarter. Now, let's review on Page 6, the unit economics, which obviously are a key enabler for these growth investments. On this page, you can see that the average order value now stands at $28. As we continue to shift our mix towards more of the everyday product categories. An entire land, our gross profit after fulfillment expenses, excluding consumer incentives, which are given from revenues, stands at $1.3 per older, which represents 4.6% of the value of each older. 2 years ago, same numbers were $0.5 and 1.2%. Given this -- given the strength of the unit economies, we are investing more into scaling the platform and this includes targeted investments in consumer adoption. We can see on this chart that we have increased consumer incentives to $0.9 per order, which -- a level which is similar to the ones that we had 2 years ago. And our sales and advertising for order are now standing at $2.8. We believe that we have very strong unit economics. And this will continue to allow us to invest into scaling the platform. With this, let me now hand over to Jeremy, who will give us more details [Indiscernible]
Jeremy Hodara: Thank you, Sacha. Hello, everyone, and thanks for joining today. We keep up with the review of the user strength bring the quarter on page 8. So, on page 8, our growth access and strength strategy are actually starting to pay off. Year growth reached an all-time high of 8.5 million surpassing the prior 2, 4 weeks and increasing by 28% year-over-year, which is the fastest growth rate of the past 7 quarters. The annual active consumers reached $7.3 million, which is up 8% year-over-year, supported by a strong acceleration in your consumer adds during the quarter. We're also seeing a sequential step up [Indiscernible] active consumers at 4% quarter-over-quarter, which is the fastest sequential growth of the past 5 quarters. As a result of the acceleration in consumer and orders growth, we're reaching an inflection point in the GMV trajectory, which increased by 8% year-over-year, reaching $238 million. This is placing momentum and we believe we can maintain this momentum as we continue to focus on every category. And as we continue to invest in growth. On page 9, you can see that we continue to shift the mix towards 3 different categories, which went from 44% of the GMV in 2019 to 64% in Q3 here. The average order value now stands at $28. If we look now on page 10 at the trends by product category with more details. We see that the GMV growth momentum across all categories with the only exception of Phone and Electronics, which continue to be affected by supply chain disruption. In Q3, the factors growing category in general returns, [Indiscernible], which almost doubled year-over-year. FMCG was the second fastest-growing category in GMV terms. It was also the fastest-growing category in terms of items sold, putting in higher ever volume number and almost doubling year-over-year. We see great momentum in the grocery sub category, which we keeping improving to serve as the needs for consumers. Food delivery, maintaining strong momentum and was the second factors bring getting us in terms of items sold, growing by almost 40% year-over-year for delivery posted its highest ever quarterly review with over 2 million orders. We're pleased to see broad-based momentum across every day categories. And we are confident that our continued investments and disciplined degree accretion, which further the acceleration. We're moving now to JumiaPay on Page 12. JumiaPay increased by 15%, from a $63 million in Q3 last year to $64.5 million in Q3 this year, supported by the growth in GMV and JumiaPay app digital services, in particular. On platform penetration of JumiaPay, as a percentage of the GMV, reached a new high of 27.1% in Q3 this year from 25.4% Q3 last year. If we turn to transactions on page 13, JumiaPay transactions reached $3 million in Q3 this year, that's 34% year-over-year, the fastest transactions growth rate of the past quarters. JumiaPay transactions growth was supported by accelerating volume growth across the business in the food delivery category, in particular. Overall, 25.7% of orders placed on the Jumia platform in Q3 this year were completely using Jumia Tech compared to 34.1% last year. In parallel with increasing the beneficial of Jumia [Indiscernible] on our platform, incredible and disciplined manner, will have initiatives [Indiscernible] of JumiaPay off platform. There's one initiative in Egypt earlier this month, where we are starting to process our first payments off platform for third-party online merchants. I'd like to take this opportunity actually, to explain in more detail our strategy on JumiaPay. And I'm now on page 14. As explained in the past, our strategy with JumiaPay is to refer [Indiscernible] ecosystem for consumers and merchants. The first and essential layer of this ecosystem is payments. For consumers, we have made a Jumia Pay checkout account that can be linked to their payment method of choice. It can be linked with a credit card, bank account or wallet. There's a huge variety of payment methods in Africa and we're pleased with JumiaPay checkout account to embrace and accommodate these diversities. In the future, we intend to turning to JumiaPay checkout accounts into a full-fledged wallet with an extended range of keys, including cash into sales features for big transactions and many more. For merchants, we did JumiaPay branded checkout solution that can leverage the existing base of JumiaPay checkout account holders. And that is the solution we are currently rolling out to third-party on an invention’s initiatives. On top of the payment solutions, we are overlaying an extensive range of financial solutions for both consumers and merchant. For consumers, we have a number of distributions already live in the Jumia Pay app, offered by third-party service providers, such as micro-loan [Indiscernible], savings products, insurance policies etc. Where these products are live in select countries they'll remain in the early stage of their developments. And we intend to further expand and diversify the current offering. For merchants, we're also developing a range of [Indiscernible] services, starting with credit products. Today, we collect Jumia sellers with third party financial institutions helping them access credit and leveraging the dividends data [Indiscernible] purposes. In Q3 almost 500 loans where disbursed. More than doubling versus last year and benefiting over 350 unique sellers, a 55% increase year-over-year. Access to credit and financial inclusion is a meaningful pain point for [Indiscernible] sellers. Whether on or of the Jumia platform, and there will be internet to [Indiscernible] of merchants. In addition to payments and financial services. We're developing an extensive range of digital services for consumers and merchants. For consumers, we are already offering a broad range of services on the JumiaPay app and we're constantly extending it. To give you a sense, we now have more than 330 [Indiscernible] available, ranging from paying your university [Indiscernible] to booking your bus tickets. For merchants, we offer user-friendly features to attract transactions, Balance Sheet, and settlements. And we also have access to marketing and legacy tools to allow them to take off promotions to specific customer cohorts. JumiaPay is core part of our strategy. We are very excited about the recent development and what's coming ahead. And we have all the relevant building blocks to grow JumiaPay into a payment and fintech … in Africa. Now, I hand over to Safae who is covering for Alton (ph) today and will walk you through our financial performance [Indiscernible]
Safae Damir : Thanks Jeremy. I will start with our monetization metric. Let's look at the trends of our market-based revenue on page 15. Marketing and advertising revenue increased by 14% supported by robust center take-up of our ad solutions. We have doubled the number of monthly failure ad campaigns in Q3 '21 compared to the monthly average of the first half of the year. This was partly offset by generally tighter budget compared partly advertisers and agencies, in particular. Value added services revenue increased by 11% year-over-year. This was a result of increased volumes in our platform, and hence, higher shipping contributions collected from sellers, as well as increased 8 caps by sellers of our warehousing services. Permissions and fulfillment revenue are both impacted by consumer instances. Excluding these impacts, commissions revenue was up 18% driven by usage growth, and [Indiscernible] revenue was down 2% as we chose to reduce the shipping back to customers. One of the key features of our revenue model is the diversity of our monetization streams. And this gives us the flexibility to adjust the monetization insensitive to serve our strategies. Parts of the monetization strategy is also to drive revenue and margin from our platform assets, Jumia logistics and JumiaPay. I now would like to give you an update on Jumia logistics on Page 17. We are seeing strong momentum in this business and we reached a new milestone in Q3 '21, with revenue generated from these activities reaching the million-dollar mark. This was driven by a record volume of 2.9 million packages shipped, more than doubling quarter-on-quarter on behalf of over 700 clients. Our clients span a very broad range of sectors and we have laid out on the page a few examples of logistics as a service client we worked with during the quarter. In Kenya, we collaborated with Galana Oil, a leading oil marketing Company to expand their logistics capacity and serve their sales outlets and third-party clients across the country. In Ivory Coast, we worked with Platinum, the sole distributor for KDog's to serve wholesale and modern trade clients across the country. In Tunisia, we worked with Cameroon, a leading [Indiscernible] distributor who serve their retailers across the greater Suneet's (ph) area. We are very pleased with this momentum and milestone. We believe we have created a very unique logistic plat form relevant -- very relevant to large and small companies across many sectors. Moving onto gross profit trajectory on page 18. Gross profit before the impact of consumer incentives shows a steady increase over the past 2 years, accelerating by 14% year-over-year in Q3 '21. We made our lead in margin x percentage of GMV increased to 14% in Q3 '21 from the 13% in Q3 '20, which were the 478-basis points step-up for this Q3 '19. We made the decision to reinvest some of these monetization gains into our price competitiveness, increase in consumer incentives to $7.5 million in Q3 '21 to $2 million in Q3 '20. I would point out here that the Q3 '20 levels were very modest and were down 63% compared to Q3, '19. As a result, gross profit, which is net of consumer incentives, decreased by 6% from $27.1 million in Q3, '20 to $25.5 million in Q3, '21, which is 21% higher than Q3 '19. Similarly, gross profits at percentage of GMV decreased from 12% in Q3 '20 to 11% in Q3 '21, remaining 346 basis points above the margin level of Q3 '19. Moving onto costs, on page 20, we are in a phase of expansion and increase investments. We are maintaining strong cost dividends, and you can see that we continued generating logistics efficiencies on a volume unit basis. For segment expense increased by 13% year-over-year, while orders accelerated by 28% over the same period. And while our ordered in through Q3 '21 or 22% higher than in 2019, our full payment expense in Q3 '21 was 5% lower than in Q3 '19, which speaks to the significant step-ups in logistics efficiency. Moving onto sales and advertising costs, page 21. 7 advertising expense reached $24 million in Q3 '21 up 228% year-over-year, and up 57% compared to Q3 '19. We picked up the pace of marketing investments in June 21 and maintained a similar level of largely marketing investments throughout Q3 '21, on the back of 18 months of reduced marketing expense. The increase in marketing investments was implemented across marketing channels with 60% of the increase alligated to online performance marketing across the full consumer journey final. The remaining 40% was allocated to offline media and video advertising, which will -- which were largely for sales in 2020. And you can see that the split of our sales and advertising expense in Q3 '21 is largely in-line with better Q3 '19 albeit with a slight reduction in the share of staff costs. I now would like to give you a bit more color on the nature of our marketing investments and activities with a few illustrations from Q3 '21 on page 22. We consider consumer incentives as marketing investments. And that's because price and shipping adjustments are key to support consumer acquisition and royalties. In Q3 '21, we deployed our newly launched AI powered CRM growth tool across geographies. This tool allows use to hit target specific customer cohorts with tailored incentive based on their purchase history and user signals. The above-the-line marketing i.e., radio, TV, and out-of-home advertising with very limited in 2020 and at the beginning 2021.We're now ramping up investments in this channel with dedicated brand-building and awareness campaigns. Our out-of-home campaigns are aimed at increasing our awareness at reach in strategic geographical areas, which are still under penetrated. Below the line and online performance marketing continues to account for the largest share of our marketing investments. As we increase our investments in online marketing channels, we constantly seek to optimize the efficiency of these investments. In Facebook marketing, for example, we have moved to a full funnel approach. This consists of going beyond the bottom of the funnel, direct response ads into brand awareness campaign to broaden our audience reach and drive new user adoption. To increase the efficiency of our investments, our data science teams are working very closely with Facebook to enhance campaign structure and brand awareness KPIs, including ad recall uplift, app installs, and content views. On social media, we are building a leading network in Africa of key opinion leaders or KOLs. In September alone, our network counted over 260 active KOLs across Africa. In 2021, we rolled out a proprietary KOLs management platform that allows us to acquire, manage, and compensate KOLs in a fully automated manner. Turning to technology and G&A expenses on Page 23. Technology is another area of increased investments with technology and content expense reaching $9.4 million up 27% year-over-year, and 21% compared to Q3 '19. Tech is the backbone of our platform, and we are increasing investments in this area to build more products and features to enhance user experience and engagement on our platform. General and administrative expense, excluding SBC reached $25.2 million, up 10% year-over-year. This was mostly due to an uptick in stock costs, as we strengthened the management bench in selective areas of the business to support growth. The G&A costs, excluding SBC, in Q3 '21 remained 11% lower compared to the levels in Q3 '19, as we've been paying cost discipline in this area. Moving to adjusted EBITDA loss on Page 24, we have clear objectives of usage, growth, acceleration, and JumiaPay development and our capital allocation reflects that. adjusted EBITDA loss reached $62.5 million in Q3 '21 compared to $27 million in Q3 '20, as a result of increased growth investments in the form of consumer incentives, sales and advertising, and technology investments. Let's now turn to balance sheets and cash flow items Page 25. We are increasing our growth investments in an asset-light manner, leveraging specific benefits of our operating model. CapEx in Q2 '21 was $0.8 million as we operationally energies as a platform with very limited CapEx requirements. Net change in working capital recorded resulted in an inflow of $7.1 million in Q3 '21. This was mainly a result of an increase in payables relating to the uptake in first party activity, as well as a shorter receivable cycle. Cash utilization for the quarter, defined as cash used in operating and investing activities, excluding investments in financial assets, was $47.6 million in Q3 '21 supported by the working capital inflow during the quarter. At the end of September '21 we had the liquidity position of $584 million comprised of $185 million of cash and cash equivalents and $399 million of financial assets. With that, I'll hand over to Sacha for concluding remarks.
Sacha Poignonnec: Thank you, guys. Thank you Safae. Thank you very much Jeremy. I think you can see the remarks, the beginning of our sales of scaling the platform. And by scaling the platform we mean again, accelerating using troll, developing JumiaPay, diversifying, monetization or this to drive faster possibility. And we're leveraging, of course the strong fundamentals and the strong unit economy picks and efficiency gains that we have achieved over the past 2 years. I think for our results, we -- on growth, we've got record global number plus 28% year-over-year. We've got record closely active consumers, we've got GMV growing, so we're pleased with that. I think on developing JumiaPay, we see good growth, 16% growth of volume, or value salaries for the 4% of volume. Also, the first transactions of platforms in Egypt, so very pleased with that. On diversifying monetization’s, we see those efforts on Jumia logistics are starting to be meaningful and we reached the 1 million marks. I think the strategy is well underway and we have put more capital to work during the quarter with the good signs, I would say as views age acceleration of JumiaPay and of diversifying the monetization. We have this vast, untapped markets that pulls both on the e-commerce and payment fronts. And this compass who we really want to establish Jumia as the go-to destination for consumers
Safae Damir : and we want to develop JumiaPay into repayment and [Indiscernible] champions on the continents over the next 2 quarters. Building upon this momentum, we intend to continue, further accelerate the pace of using growth accelerating orders consumers, driving further GMV infection and to fuel this growth we will continue stepping up our consumer adoption and technology investments in the near term of course, we may see some fluctuation in unit economics as we ramp up investments, but we want to make and expect that the usage, growth and the diversification of our monetization streams will support them. We're very confident that achieving scale through growth acceleration, JumiaPay development, and when utilization will ultimately
Sacha Poignonnec: take the business to breakeven and we do this, of course, maintaining a disciplined approach to cost and to capital allocation. Thank you very much for your attention and we are now ready to take your questions.
Operator: Certainly. The floor is now open for questions. [Operator Instructions]. We ask that while posing your question, you please pick up your handset if listening on speakerphone to provide optimum sound quality. Please hold a moment while we poll for questions. Your first question is coming from Aaron Kessler with Raymond James, please pose your question.
Aaron Kessler: Thanks guys. A couple of questions. First on the increased level of marketing, can you talk a little bit about the quality of the customers you are getting? I was just always concerned with some of the incentives that maybe these are more short-lived customers. And then maybe how long do you plan on, with this increased level of marketing spent, do you expect us to analyze some of the data after this, or do you think this will sustain for several quarters up until you can get that unit economics to drive overall profitability. Thank you.
Sacha Poignonnec: And with the impact here, I think on the strategy in terms of marketing, we're definitely investing across the full spectrum of consumer journey, right? We're investing at the very top of the funnel and brand awareness, education. We're investing into consideration. We're investing into conversion. We're investing to loyalty. So very much across the spectrum because as we know that we have a large number of consumers who are yet to start to inflect in online and so we're really investing across the full spectrum. And certainly, we'll review to optimize the consumer lifetime value. And consumer incentives are part of that. And the share of the consumer incentive over the top 10 total marketing dollars that we invest, we think is reasonable. And certainly, we invest all consumer incentive with a consumer lifetime value in mind. And I agree with you that there will always be deal seekers and quantity of customers who may not be as good as others; but over time, we are optimizing based on TOB and our ultimate goal is to have very loyal customers who are repeat customers and consumer incentives, I think, are good way to drive conversion or sometimes to drive certain behaviors. And for example, to help consumers discover a new category or as we have done in the past, to help them overcome the JumiaPay for example, we get discounts for consumers to transact on JumiaPay. We see the consumer incentives are very strategic and as part of driving the right consumer lifetime value and not necessarily as practical. Now in terms of the level, certainly we want to continue to invest and to -- and to continue to invest more. I think what we want to see is increased efficiency was time. Certainly, the question will be about how fast can we improve the efficiency of those marketing investments? Obviously, based on what I said, a lot of those marketing investments are for the long-term brand awareness consideration. And we want to see the marketing efficiency improved over time. And as we see that we would be very comfortable continuing to increase the absolute dollars that we are investing in market team, if that makes sense. So, we'll have to navigate based on how the efficiency evolving. And as the efficiency evolves, we will allocate more dollars, right? So, I think it's an equation here that we are solving for and that over time, what I can say is that we want to increase the absolute dollars that we invest and we want to see also the efficiency increasing. Again, over time it may or may not be the case exactly 1 quarter to the other but over time we want to do those suiting.
Aaron Kessler: A quick follow-up. For the incentives, can you just say where you're recognizing there is that contra revenues, [Indiscernible], sales and marketing? And then IT looks like we saw a decline in third-party revenues, but then an increase in first-party revenues as soon as [Indiscernible] intentional shift that made more fast-moving goods in the quarter.
Sacha Poignonnec: Yes, so they are accounted for as a minus of revenues and mainly minus in the buckets of commissions. And in the buckets of shipping. So that's where they are accounted for as a minus of that. And this is why we're presenting here in this presentation. If you aggregate before and after consumer incentives so that the comparisons can be made within the quarters from last year and the year before. And what was your second question, Aaron? Sorry.
Aaron Kessler: I think that was related to that, so if you add that then you would have grown third-party revenues and aggregate?
Sacha Poignonnec: Yes. Exactly. Because that's why we presented on this stage the commission before and after consumer incentives. And you can see that without the consumer incentive, the conditions are growing by 18% after they are declining by 21%, right? So, we consider those to be as part of our efforts to drive consumer education, consumer adoption. And so that's why we present both charts.
Aaron Kessler: Okay. Great. Thank you.
Sacha Poignonnec: Of course.
Operator: Your next question is coming from Lamont Williams at Stifel, please pose your question.
Lamont Williams: Hi, thanks for taking my question. You talked a little bit in the letter about doing more 1P in the grocery category. Is this more just to get more skews in the category, how are you thinking about long term within the one key questions in the category. Is it something you will need to do, or will you shift back to a more and marketplace skew?
Sacha Poignonnec: It's a good question. I think we're doing this on groceries, especially because of the complexity for the big brands and the big suppliers to operate a marketplace business that they're not really use to, right? And the biggest FMCG players in our markets, they don't operate the D2C business, right? They don't do dropship paying and they don't -- they are not geared for that, right? What they want is to sell to distributors who are then distributing to consumers. And recognizing this, recognizing also that we have the knowledge and the capability to operate the 1P business because we've always operated d the 1P business. We have the systems, the processes, the capabilities, the standard procedures to operate 1P. We're deciding right now that we want to operate a last part of the gloss on 1P. And that's a great -- I would say that's a great strength, and that's a great advantage because we are able to accelerate even faster, and adapting to the new operating models that the big plans and big distributors are used to. And for us, as always, we see 1P as something that we do and we know how to do it. So, it's not really a problem. I don't know if in the future this will move to marketplace or no. We'll see. Maybe we'll, maybe we'll not. At the end of the day, we think that generally neutral and the gross parts in basis because the margin that we make on a 1P correspond or would correspond more or less to the commission that we would take into the type of revenue that we would make on a marketplace basis. So, I think, financially, this is something that we're prepared to do and that really makes sense for us to drive the growth of the category.
Lamont Williams: Okay. And just a separate question. With holidays coming up, it looks like the promotional environment has gotten a -- has moved a little earlier. Could you to talk about how you are thinking about holidays and maybe some of the trends you're seeing post-quarter, if you can?
Sacha Poignonnec: Well, I'm not sure I get the first part of the question, Lamont but like on the promotions and incentives for us, again, is really something that we are driving in a strategic way. Again [Indiscernible] the example of the offering a discount for consumers to pay with JumiaPay or for example, doing free shipping on certain size of baskets for grocery items. So, we're using those incentives to drive consumers towards the categories of product and towards the type of payment methods that we're seeing really makes sense. It's really the objective of that. And that's for us completing part of the consumer adoption in the CLB consumer lifetime value strategy. And very integrated into everything that we do into our plan and strategically. And then of course our intention, I think we're pleased with the usage that we're seeing and the recent acceleration, but our intention is certainly to continue that, right? And we want to scale the platform and accelerate the growth rate so that's certainly the intention and that's certainly something that we hope to see in Q4 and then the quarters to come. Again, good numbers, but we don't want to start here and the intention is to grow faster than this.
Lamont Williams: Okay. Thank you.
Operator: Your next question is coming from Joshua Korn (ph) with Mastercard Capital. Please, pose your question.
Joshua Korn: Hi, thank you so much and congrats to everybody on the inflection quarter and the acceleration to growth. My question is 2-fold. First of all, maybe you can give us some color on how the end of the quarter kind of trended relative to the beginning of the quarter. So, knowing that you started to sign the sales and marketing towards the end of Q2, that the growth rate continues to kind of pick up through Q3, and any kind of color that you can give us on exit growth rate for GMV in Q3 or some kind of expectation for what we can roughly expect in terms of the further acceleration for Q4 would be really helpful. Thanks.
Sacha Poignonnec: And of course, just thanks for asking the question. I think maybe I will just go back to what I just said, which is at the end of the day we are engaging that phase where it's about scaling the platform, which is accelerating [Indiscernible]. JumiaPay and diversification of monetization. And we're not going to stop where we are now. And the intention is to accelerate even further. And we're very confident that this will happen.
Joshua Korn: Awesome. And were you seeing that acceleration continue to pick up as we left the third quarter and now as we move into the fourth quarter? Is the acceleration growth rate increasing now?
Sacha Poignonnec: Well, it's not something that we will disclose because I think there can always be some year-on-year effect and August and September and so on, so forth. But I think we'll have to see how Q4 is playing out, but again, we're very confident about accelerating the acceleration.
Joshua Korn: I love to hear it and one more question, maybe we can just dive into a bit further kind of your barrier to entry in Africa and your position relative to anybody else that could be an e-commerce in Africa, I mean, it seems like you have a leading market position. How do we all kind of understand how that barrier to entry kind of really stands and what's the competitive landscape in Africa is and then how dominant Jumia, it really is in that landscape.
Sacha Poignonnec: Yes, thanks for the question, Josh, and best question. I think to start with the barrier to entry and what it takes to be successful in those markets. And stepping back a bit on what, how, what does it take for e-commerce to the yield to operate at scale and providing great customer experience in Africa. There's not going to be a number of components behind that which are extremely hard to create and therefore to replicate, right? So, if you think about the brands that is needed in the market where consumers have never or almost never transacted online, the amount of brand equity that you need to create to be able to trust the users to transact for the first-time online is something that takes a lot of time, a lot of money, a lot of efforts, and a lot of localization. I think the strength of the Jumia brand is very big and sometimes some investors, still looking at the operating than add rankings and you always see Jumia as one of the biggest downloads of the app everywhere. And that is something that takes years on a little effort to drive. I think obviously supply, right? To be able to bring the right products to the consumers and to work with brands, local sellers, international sellers, local brands, international brands take a great deal of time, takes a great deal of investments to be able to write marketplace platform, to be able to write one PK giving keys, and to be able to do that at scale. We have a 100 thousand sales around Jumia from the biggest distributors and the biggest brands from we have across border program for international sellers to sell in Africa, and we work also with small sellers who are very relevant because they have very local assortment and they are very agile. And all this is ability to bring the marketplace and the 1P together and the small sellers, and the big sellers, and the brand and the non-branded, and the local and international is what at the end of the day the relevance for the consumers. And of course, they're relevant in terms of choice but also, they're relevant in terms of price because those sellers are competing. So, the second aspect of this is supply. The third and obvious one is the logistics, which is not easy Africa to create a logistic platform that can ship packages across all the areas of the country. And as fast as 1 hour or even 20 minutes in the case of Jumia Food. And that is something that we have created over the last years, which is obviously a huge asset. You can see in our fulfillment expense; they keep going down. It's a new efficient system and it's not just nice thing is now we have third-party sellers worked planning to use it and we crossed $1 million of revenue from Coffee merchants were choosing Jumia logistics. They are choosing it over other players to do logistic services, right? That's a great testimony of the efficiency as well. And I think a lot more to come and maybe last but not least. But of course, payment, being able to operate cash on delivery because we are still in very cash-oriented countries, cash-orientated economy and complementing that with JumiaPay is obviously very difficult to reproduce for players who are not necessarily savvy with that. And I think doing this at scale in multiple countries is something that I think takes a lot of passion, a lot of skills, time, energy, and money to do and create. And that's what we have done, so I think it puts us in a pretty good position.
Joshua Korn: And I would agree and I guess, though, we're confident with the accelerating momentum here. GMV growth is something they can continue into 2022, is that right?
Sacha Poignonnec: Right.
Joshua Korn: Okay. Great to hear. Thank you so much for taking the time.
Sacha Poignonnec: Of course.
Operator: Once again, if there are any remaining questions or comments [Operator Instructions]. Please hold one moment while we poll for any additional questions. We do have 1 additional question from Sara h with Berenberg. Please pose your question.
Sarah Simon : Yes. Hi, thanks for taking my questions. I thought I'd already pressed the button. Anyway, I got 2 actually. Could you just remind us of what product scale into digital orders? And I seem to recall that a couple of quarters ago you [Indiscernible] on that. So can you just talk a bit about what's changed that and then all the shift to grocery 1P, I was on a call with another Company doing 1P grocery earlier this morning and thorough, obviously incurring significant upfront costs in terms of establishing [Indiscernible] stores and stuff, which I assume is what you will have to do as well. So can you just talk about how we should think about factoring the shift to grocery 1P into lawful costs, thanks.
Sacha Poignonnec: Thanks Sarah. They’re good questions. What goes into digital orders and financial services is pretty much everything that is happening on the apps, which is called JumiaPay, and that users use to process a number of digital payments and access financial services and so on, so forth. So, it's pretty clear from that perspective that those are almost services that are recorded as digital orders. And I think a few quarters ago, 1 of the actions that we took was to start moving a little bit away from the micro transactions from those digital orders. So those micro-transactions, what we mean by that is the recharge of airtime, for example, and which is a classic 1 and a classic strategy with those services is to attract, for example, the consumers with a discount or with a cash back on buying some airtime for a very small amount. And then targeting that consumer and making sure that the consumers over time, we will look into a consumer that uses the app for other things. So, I think the micro-transaction is a traditional way, I would say, to attract consumers, and I would say back in the days we had less services than we have today. Today we have literally hundreds of different services. Consumers can look at bus tickets, for example, on the app, they can buy movie theater tickets, they can pay their university fees, they can pay -- you can pay your fine, for example, if you do -- if you should have a fine -- a parking fine for example, in some countries, you can pay them on the app and so and so forth, right? So, as we have a lot more services, we have less need to attract or to reproduce with those microtransaction. So, I think that's what changed drive, we added a lot more services. And as a result, we are able to do less of those microtransaction, which are not unattractive. They are good and they're attractive and they drag users to be clear. It's very -- even the best consumers who are doing, all of the other services that I do, we also want them to use JumiaPay to recharge their airtime, we have nothing against those transactions, but we did less of that, right? So that's something that changed. I think you're referring to that. The one thing grocery is interesting because we see a lot of food delivery focused players moving into that. And for us, when you think about our stores for an example, we mentioned that to dark store is small warehouse and to operate the dark store, you need to be able to operate a small warehouse, which means that you need to have the capabilities to do that, you need to have the capabilities to new storage, taking back, and inventory management, and logistics; and logistics in the sense that warehouse logistics, which is something that we have been doing forever since day 1. Since when we start with Jumia, the first thing we did pretty much was to rent a warehouse. And so doing that for Jumia Express and so on. So, for us, the Dark Store is nothing else than a small warehouse, and we have already dozens of warehouses. So, for us, it's an extension of what we already do. And, of course, there may be some investments here and some investments there. They will go into our G&A probably and maybe you see already some of that, but it's not something that we have not done before. And that's something that we foresee will have the financial impact and we already have those warehouses; they work in pretty much all the big urban areas. And we're going to stop operating those grocery, quick delivery, dark stores type. Maybe there will be dedicated warehouses, maybe we'll do part inside the warehouses that we have. So, for us it's very much a continuity of what we do.
Sarah Simon : Okay. That's helpful. Thanks.
Operator: There appear to be no further questions in queue at this time. I'd like to turn the floor back over to Sacha for any closing remarks.
Sacha Poignonnec: Great. Thank you very much for attending as always, and I repeat every time at the end of the call that we remain available to discuss and exchange and enhance. So do not hesitate to reach out and I hope everyone is staying safe. Take care, and we're always fixing. Thank you. Bye-bye.
Operator: Thank you, ladies and gentlemen, this does conclude today's conference call. You may disconnect your phone lines at this time and have a wonderful day. Thank you for your participation.